Operator: Good day. My name is Victoria, and I will be your conference operator. At this time, I would like to welcome everyone to the 2018 Q1 Earnings Release Conference Call. After the speaker's remarks there will be a question-and-answer session. Thank you. I would now like to turn the call over to Patrick Burke, Head of Investor Relations. Sir, you may begin.
Patrick S. Burke - Callaway Golf Co.: Thank you, Victoria, and good afternoon, everyone. Welcome to Callaway's First Quarter 2018 Earnings Conference Call. I'm Patrick Burke, the company's Head of Investor Relations. Joining me on today's call are Chip Brewer, our President and Chief Executive Officer; Brian Lynch, our Chief Financial Officer; and Jennifer Thomas, our Chief Accounting Officer. Today, the company issued a press release announcing its first quarter 2018 financial results. A copy of the press release and associated presentation are available on the Investor Relations section of the company's website at ir.callawaygolf.com. Most of the financial numbers reported and discussed today on today's call are based on generally accepted accounting principles. In the few instances where we report non-GAAP measures, we have reconciled the non-GAAP measures to the corresponding GAAP measures at the back of the presentation in accordance with Regulation G. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in this presentation and the press release for a more complete description. Please note that in connection with our prepared remarks, there is an accompanying PowerPoint presentation that may make it easier for you to follow the call today. This earnings presentation is available for download on the Callaway Investor Relations website under Webcasts and Presentations. Also, on the same tab, you can choose to join the webcast to listen to the call and view the slides. As a webcast participant, you're able to flip through those slides. I would like now to turn the call over to Chip.
Oliver G. Brewer III - Callaway Golf Co.: Thanks, Patrick. Good afternoon, and thank you for joining us for today's call. Starting on page four of the presentation, I'm pleased to announce a record start to the year based on continued strong operating performance, brand momentum and improved market conditions. Revenues were up 31% to $403 million and fully diluted earnings per share, as well as trailing 12-month EBITDA more than doubled. Our new products, particularly the Rogue line of woods and irons, as well as our new Chrome Soft golf balls featuring graphene are resonating on a global basis, and our new business initiatives continue to perform at or above expectations. We have made and are continuing to make significant investments in our business, which we believe are paying off nicely for shareholders. Since the beginning of the year, we also repurchased $22 million of our own shares. As is my custom, I'd like to take this chance to thank the Callaway Golf team for delivering these results. The team should be proud of what we have accomplished. I'm also sure they understand we have a lot more to do, and like me, are motivated to take our company to the next level. Turning to slide 5, in addition to our strong operating performance, which we will discuss in a moment, in a reversal of trends, our business benefited from two significant tailwinds during Q1, both of which were outside of our expectations going into the quarter. First, foreign exchange moved positively for us during the quarter, thus providing upside on the top line, although as a reminder, we hedge at 70% to 80%, thus limiting up or down side on profitability and cash flows for any given calendar year. Secondly, despite tough weather conditions in North America and Europe, overall global market conditions turned out to be quite favorable, with significant year-over-year growth in both Japan and the U.S. markets offsetting slower year-over-year conditions in Europe. We anticipated the potential for improved conditions, noting positive trends in average selling price, market dynamics, field inventories, product life cycles and that the U.S. markets had transitioned well through the disruption of the Golfsmith bankruptcy. However, the magnitude of the improvement did exceed expectations and helped us, and we believe the industry overall, get off to a strong start to the year. Turning to slide 6, let's now take a deeper look into our operational performance by region. While doing this, it's worth noting that we launched more products in Q1 2018 than Q1 2017, and thus quarterly comparisons should bear this in mind. In the U.S., our revenues were up 32% for the quarter. The quarterly performance was driven by double-digit growth in our core business as well as the addition of TravisMathew, which had an outstanding quarter as well. Looking at our equipment business, our Q1 hard goods market share was approximately 26%, essentially flat year-over-year. According to Datatech, the U.S. hard goods market at green grass and off course grew 9.5% during the quarter and 21% during March alone. This market growth was driven by club sales. Balls were down slightly, most likely reflecting grounds played and weather. For the quarter, Callaway was the number-one total hard goods brand, number-one in total clubs, woods, irons, and putters. In golf balls, we remain the number-two brand with 16.2% dollar share, up 220 basis points year-over-year. Our club market share was down 110 basis points year-over-year, reflecting a more competitive market in drivers, but we remain very pleased with our industry-leading position in total clubs. We are showing strength across our entire line, and we continue to have strong performance in the driver category with Rogue as the number-one selling model year to date. Additionally, field inventory levels appear to be in-line for the market overall as well as Callaway. Turning to page 7, our Asia business also had a strong quarter, led by Japan. Our revenues from the Japan market were up 42% for the quarter on a currency-neutral basis driven by an increase in product launches, higher sell-in levels due to continued brand momentum, as well as strong market conditions. For the quarter, our hard goods dollar market share was 16.8%, which was down 480 basis points year-over-year. This decrease sounds concerning, but after digging into the numbers, we are quite comfortable with our position. Our trends were good in that our March hard goods dollar share increased to 18.4%, up 170 basis points versus February, and we are anticipating further improvement in April. And as in the U.S., we are seeing strength across the entire product line. We also did an extensive analysis of field inventories and concluded we are in good position with this as well. Korea also had a strong start to the year with currency-neutral revenues up 26% for the quarter. For Asia in total, we anticipate a strong year overall, but our growth here, like our business overall and this year's product launch cadence, will be front-loaded. Moving to page 8, in Europe, the team had a relatively quiet quarter with revenues up 14.8% in total and 2.5% in constant currency. The European market and especially the U.K. market were negatively impacted by poor weather conditions in Q1. In the U.K., rounds were down 22% and the market was down 7%. However, we remain optimistic for this market as the weather inevitably improves. For Europe as a whole through February, our latest data, we remain the number one hard goods brand, with a hard goods share of 24%, which was down 200 basis points year over year. Now on slide 9. Based on the strong start to the year, we are raising our full year revenue guidance by $50 million to $55 million, and our full year earnings per share by a range of $0.12 to $0.13. This forecast reflects current foreign exchange levels as well as continued improved market conditions. You'll undoubtedly notice that our full year forecast is heavily front-half loaded. This reflects our current estimate of our product launch cadence, with more launches in the first half and less in second half compared to last year as well as our estimates of competitive launch activity. In conclusion, we're excited about our start to the year and cautiously optimistic it's going to be a positive year for Callaway and the industry as a whole. Stepping back for a moment to look at the big picture, I hope you agree we've significantly grown and strengthened our business over the last few years and that, barring an unforeseen event, this trend is likely to continue. We are clearly now a product and technology leader in the equipment space. We have momentum in improving overall industry fundamentals. We hope you also agree we're making attractive investments by reinvesting in our core, investments in Topgolf, selectively repurchasing shares, and in strategic acquisitions, all areas where we believe we can deliver attractive growth and returns for our shareholders. Brian, over to you.
Brian P. Lynch - Callaway Golf Co.: Thank you, Chip. As Chip mentioned, we are very pleased with our start to the 2018 golf season. Our consolidated net sales increased 31%, including increases in all operating segments, in all regions, and across all product categories. These increases reflect the strength of our 2018 product lines, a product-launch cadence that is heavily weighted toward the first quarter, the addition of TravisMathew sales, positive changes in foreign currency rates, and improved industry conditions. It is nice to have a few tailwinds for a change. Our new product introductions, including the Rogue woods and irons, and the new Chrome Soft golf balls are off to a strong start, and our new businesses OGIO and TravisMathew continue to meet and/or exceed their plans. Although we are mindful that a large portion of first quarter sales represent the early season selling for the new golf season, we are cautiously optimistic for the year. In evaluating our results for the first quarter, you should keep in mind some specific factors that affect year-over-year comparisons. First, the TravisMathew acquisition occurred in August 2017. As a result, that business was not included in our first quarter 2017 results. Second, as a result of the two acquisitions, we recorded some nonrecurring deal-related expenses. When comparing to our 2017 non-GAAP results today, we exclude the nonrecurring deal-related expenses, as that is how we evaluate our performance. Third, during the fourth quarter of 2017, we recorded $3 million of additional tax expense related to the 2017 Tax Cuts and Jobs Act and other nonrecurring tax adjustments that impacted the full year. We exclude these from our 2017 non-GAAP results. Also as a result of the Tax Reform Act in 2017, our first quarter tax rate in 2018 was 21.5% compared to 33.8% in the first quarter of 2017. This decreased rate had a positive benefit on our first quarter earnings and will have a positive impact on full year earnings as well. With those factors in mind, I will now provide some specific financial results. Turning to slide 12, today we are reporting consolidated first quarter 2018 net sales of $403 million compared to $309 million in the first quarter of 2017, an increase of $94 million or 31%, and a record for net sales in the first quarter. Foreign currency positively impacted international net sales by $11 million in the first quarter. The significant improvement was driven by a 19.7% increased in woods sales, a 61.3% increase in irons sales, a 23.8% increase in putter sales, a 13.9% increase in golf ball sales, and a 35.3% increase in gear, accessories and other, primarily due to the addition of the TravisMathew business, which was acquired in August of 2017. The increase sales occurred across all regions, with U.S. up 31.9%, Europe up 14.8%, Japan up 49%, the rest of Asia up 35%, and other countries up almost 8%. Gross margin was 49.7% in the first quarter of 2018 compared to 47.8% in the prior year. The 190 basis point increase compared to 2017 reflects continued increases in scale in the core business, the addition of the TravisMathew business, which is accretive to the company's gross margins, and the net favorable impact of changes in foreign currency rates. Operating expense was $114 million in the first quarter of 2018, which is a $10 million increase compared to $104 million in the first quarter of 2017. This increase is attributable to the addition of TravisMathew operating expenses, increased variable expenses related to the higher net sales, and the negative impact of foreign exchange. Pre-tax income was $80 million in the first quarter of 2018 compared to pre-tax income of $39 million in the first quarter of 2017. Excluding the nonrecurring OGIO expenses, non-GAAP pre-tax income for the first quarter of 2017 was $43 million. 2018 pre-tax income increased $30 million or 86% over 2017 non-GAAP pre-tax income. Other expense was $6 million in the first quarter of 2018 compared to other expense of $5 million in the prior year. The slightly higher other expense in the first quarter of 2018 resulted primarily from higher interest expense. Fully diluted earnings per share was $0.65 or 97 million shares in the first quarter of 2018 compared to $0.27 per share for the first quarter of 2017. Excluding the nonrecurring OGIO items discussed earlier, first quarter fully diluted earnings per share was $0.30 in 2017. Fully diluted earnings per share in 2018 increased 117% over the non-GAAP 2017 results. As you can see on slide 13, trailing 12-months adjusted EBITDA ending March 31, 2018, increased 126% to $138 million. Turning now to slide 14, I will cover certain key balance sheet and cash flow items. Regarding our asset-based loans, we had $179 million of borrowings at the end of the first quarter of 2018 as compared to $77 million in borrowings a year ago. Available liquidity, which represents additional availability under our credit facilities, plus cash on hand, was $220 million at the end of the first quarter of 2018 as compared to $173 million a year ago. We are pleased with this level of liquidity, given our recent deployment of capital for the OGIO acquisition, the TravisMathew acquisition, additional share repurchases, and our incremental investment in Topgolf and the golf ball plan. We believe we are demonstrating our ability to generate free cash flow in the core business and are finding good opportunities to deploy that excess capital in the core business and in tangential areas. Our consolidated net accounts receivables were $265 million, an increase of 8% compared to 2017, driven by the increase in sales in the first quarter. Also, DSOs decreased to 63 days compared to 73 days at the end of March 2017. We remain comfortable with the overall quality of our accounts receivable at this time. On slide 14, our inventory balance increased by $83 million to $262 million at the end of the first quarter of 2018. The increase was due to the planned increased launch activity in 2018. We needed to insure that we had the appropriate amount of inventory to support those launches and we also have inventory from the TravisMathew acquisition that we did not have last year. We remain comfortable with the quality of our inventory at this time. Capital expenditures for the first quarter of 2018 were $8 million, a year-over-year increase of $2 million. This increase is due mainly to investments in our ball plan. Depreciation and amortization expense was $5 million for the first quarter of 2018 compared to $4 million in 2017. Finally, so far this year we have repurchased 1.4 million shares of stock for approximately $22 million in cash. This includes both open market purchases and shares acquired through the settlement of equity awards. I'll now comment on our 2018 guidance. As you can see on slide 15, we are updating our 2018 GAAP guidance and are comparing that to our 2017 non-GAAP financials. The 2017 non-GAAP financials exclude $11 million of nonrecurring deal-related expenses resulting from the OGIO and TravisMathew acquisitions, and $3 million of nonrecurring tax expense mentioned above. Seen on slide 15, 2018 net sales are estimated to be in the range of $1.170 billion to $1.185 billion, an increase of 12% to 14% over 2017 and more than $50 million higher than our previous guidance. Incremental sales growth versus previous estimates is expected to be driven by increases in the core business, which are now estimated at 4% to 6% for the full year versus 2017 on a currency-neutral basis, foreign exchange, and through increases in the TravisMathew business. The increases in core business are being driven by the Rogue line of woods and irons, the new Chrome Soft golf ball, continued success of the Truvis ball franchise, and increased sales of putters and Mack Daddy 4 wedges, as well as a healthier retail market. In addition, the company is currently estimating that year-over-year changes in foreign currency exchange rates will have a more positive impact than originally anticipated. The company currently estimates that changes in foreign currency rates will positively impact 2018 net sales by approximately $19 million as compared to our initial expectations at the beginning of the year of less than $5 million. We estimate that full year 2018 gross margin will be 47%, which is 50 basis points higher than our previous estimate. The increase is being driven by foreign exchange rates and volume in the core business. We estimate full year 2018 GAAP operating expenses to be $444 million, an increase of $18 million compared to previous guidance. This increase in operating expenses reflects variable costs related to higher sales and performance, the impact of changes in foreign currency exchange rates, as well as targeted investments in the core business. GAAP earnings per share are estimated to be $0.77 to $0.82 compared to $0.64 to $0.70 in our previous guidance. This would represent a 45% to 55% increase over 2017 non-GAAP EPS of $0.53. The 2018 figures are based on 97 million shares outstanding. We are also assuming a 23% tax rate for 2018. We estimate our capital expenditures in 2018 to be at least $30 million compared to $26 million in 2017, driven by continued investment in the ball plant and by the new TravisMathew business. Depreciation and amortization expense is estimated to be approximately $21 million in 2018. We estimate EBITDA to be approximately $128 million, a 28% increase versus our 2017 non-GAAP EBITDA, driven by the core business, a full year of TravisMathew, and more favorable foreign exchange rates. We would like to reiterate that the majority of our launches were forecasted in the first half of 2018, and we are expecting launch timing to negatively impact the second half of 2018. As a result, and consistent with our expectations entering this year, we expect second half sales to decrease compared to the second half sales last year. We continue to encourage investors to focus on our full year results, as the quarter comparisons can be materially impacted by new product launch timing. 2018 second quarter net sales are estimated to be in the range of $365 million to $375 million, an increase of 20% to 23% over 2017. The increase is driven by the front-loaded launch timing in the first half in the core business, as well as the addition of the TravisMathew business. We currently estimate that changes in foreign currency rates will slightly help our Q2 2018 net sales by approximately $5 million. GAAP earnings per share are estimated to be $0.44 to $0.48 compared to $0.34 we earned in 2017 non-GAAP results. The 2018 figures are based on 97 million shares outstanding. That concludes our prepared remarks today. We will now open the call for questions.
Operator: Your first question comes from the line of Steven Zaccone with JPMorgan.
Steven Zaccone - JPMorgan Securities LLC: Hi. Thanks very much, and congrats on a great quarter, guys.
Brian P. Lynch - Callaway Golf Co.: Thanks, Steven.
Steven Zaccone - JPMorgan Securities LLC: Yes, you're welcome. Can you elaborate on the second half revenue outlook in a little bit more detail? It seems like you're seeing very strong results on new product launches and better market growth rates, and weather is really just on a headwind to start the year. So what are the key factors you need to see to drive continued top line growth in the second half of the year?
Brian P. Lynch - Callaway Golf Co.: Well, Steven, based on our current launch cadence, we would – we are growing fast. It's just it's going to be down year-over-year, but the new products are doing well. It's just that we will have less new product launches in the back half of the year, so we would expect to be down, and that was our expectation entering the year. That's not new information for us.
Steven Zaccone - JPMorgan Securities LLC: Okay. Then just shifting to the golf ball side, can you talk about some of the traction you're having with the new Chrome Soft offering? Have you seen any price resistance from customers at the higher price point? And then just broadly speaking on the industry, one of your competitors has gotten more aggressive with marketing and also is introducing a new golf ball this quarter. Are you seeing any changes in the competitive landscape? Is that impacting your business at all?
Oliver G. Brewer III - Callaway Golf Co.: Steven, it's Chip. The new Chrome Soft with graphene has been received very well in the marketplace as shown on our market share where we continue to grow and also in the consumer feedback and player feedback. We think we've got an outstanding product there and a great message. We've gained some share over the last few years. We have a nice trend going there, so you would expect some reaction from competitors, and we've got that forecast into our guidance to the best that we can. But the reaction thus far has been very positive and we continue to be very pleased with the trajectory of our golf ball business.
Steven Zaccone - JPMorgan Securities LLC: Okay. Thanks very much.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: Your next question comes from the line of Brett Andress with KeyBanc Capital Markets.
Brett Andress - KeyBanc Capital Markets, Inc.: Hey, good afternoon, guys. Wanted to go back to the guidance quickly, so I'm just curious about your underlying assumptions that is embedded in really the back half or the full year really for both domestic industry retail growth, I guess also retail internationally and what you're assuming for market share as we kind of go throughout the year.
Oliver G. Brewer III - Callaway Golf Co.: Sure, Brett. It's Chip. We're very pleased with the start to the year obviously from the markets are doing great and we would logically conclude that it's going to be a good year overall. We're optimistic Q2 is also going to be a positive quarter and we've reflected that. As we look further into the year, our crystal ball gets a little fuzzy. There's no reason not to be positive, but you also wouldn't anticipate it being as good as it has been out of the chute because that feels unprecedented. We also like our market share trend right now. But given that we're launching less product during the second half of the year, we would anticipate that our market share position would moderate some during that period. And all of that is kind of factored into our guidance.
Brett Andress - KeyBanc Capital Markets, Inc.: Got it, that's helpful. And I hate to be the one to ask this, but Chip, I'd like to get your opinion on the proverbial Tiger Woods bump. There's been a lot of headlines, perceived enthusiasm around his return, and what that means to the sport. But are you seeing anything anecdotal that maybe confirms that hypothesis, as it relates to your business or the industry?
Oliver G. Brewer III - Callaway Golf Co.: Yes, I can't really tie it directly, but clearly Tiger coming back is good for the game and exciting, and you see the impact so dramatically in the ratings when he's playing. But in addition, we've got a great young crop of exciting players out there as well; it's not all Tiger. But there can be no doubt that there's been some positive for the sport in total No idea whatsoever, Brett, if that is – that correlation is indeed causality relative to the strong start that the industry is receiving right now. It may be, and it may be completely anecdotal to that, can't tell. But it's obviously positive for golf.
Brett Andress - KeyBanc Capital Markets, Inc.: Got it. And last one just on balls, I'm a little surprised to see operating profit in golf balls down. I know you took price on the new Chrome Soft. Revenue was strong. Can you give us a little bit more color on what drove that?
Oliver G. Brewer III - Callaway Golf Co.: Yes, the start-up of this new technology and the investments we've been making in the plant, the cost of that ball is higher than the previous ball. But also this is a new technology, and we're ramping up capabilities at Chicopee. So we're very pleased with our position, and that's something that we would expect to see continued improvement on as we gain more and more experience. But we're on track and in a good position there.
Brett Andress - KeyBanc Capital Markets, Inc.: Thank you. Appreciate it.
Oliver G. Brewer III - Callaway Golf Co.: Sure thing.
Operator: Your next question come from the line of David King with ROTH Capital Markets.
Dave King - ROTH Capital Partners LLC: Thanks. Good afternoon, guys.
Oliver G. Brewer III - Callaway Golf Co.: Hey, David.
Brian P. Lynch - Callaway Golf Co.: Hi, David.
Dave King - ROTH Capital Partners LLC: I guess on the ball business first, the double-digit growth you have there, how much of that do you expect to continue into the second quarter, particularly with some of your competitors launching balls in the soft arena that someone else alluded to? And then how has the sell through been on the ball business versus that I think it was 11.5 constant currency growth you had in the first quarter?
Oliver G. Brewer III - Callaway Golf Co.: David, we don't really break out, and we're going to continue that policy. The guidance per quarter per product category, it's too granular. But we've had a long trend of good momentum in the golf ball business that continued through Q1. So I believe if I got my numbers correct, and jump in team if I don't, but it's 16.2% up 220 basis points was our market share growth in the U.S. green grass and specialty retail channels so a nice healthy growth. The Chrome Soft launched mid-quarter as well. So we're quite pleased with the reaction and that has been a trend. We're optimistic for the category going forward, but a specific forecast for Q2 is beyond our desires or abilities right now.
Dave King - ROTH Capital Partners LLC: Understood, but that helps, that's good color. And then switching gears a bit, the $18 million increase you took in your expense guidance for the year, how much of that is the variable piece versus 4X and I guess targeted investments? And then what specifically are those targeted investments?
Brian P. Lynch - Callaway Golf Co.: Well, some of it's the – if you look at year-over-year, there's $51 million extra. Some of that's FX, some of it is the TravisMathew and a lot of it is just reinvestment in our core business, the cost of living, the variable expenses, the core business investments in marketing and tour and the other pieces as well.
Dave King - ROTH Capital Partners LLC: Okay. In terms of just in how you took up the guidance, the magnitude you took up the guidance, is there any – is the variable piece driving the bulk of that, or are there any increased investments that you're making?
Brian P. Lynch - Callaway Golf Co.: It's mostly variable.
Dave King - ROTH Capital Partners LLC: Okay, that helps. I'll step back. Nice quarter. Thanks.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: Our next question comes from the line of Michael Swartz with SunTrust.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Hey. Good afternoon, guys. I wanted to ask the question maybe another way on just the timing of revenue this year. I know you've said a lot of that has to do with just having product launches. But, Chip, maybe you can help us understand how much of that maybe is a factor of just having a little more exposure to green grass and maybe a different wholesale pattern versus the off course channel?
Oliver G. Brewer III - Callaway Golf Co.: Michael, it's a good question, but I'm not able to answer it, because I don't know what effect that channel makes. We're clearly growing our green grass business. We really have strength across all the channels right now, but if you look at a macro trend over the last few years, our performance at green grass has really improved and we have some considerable strength there. I'm not sure I know though what that impact of timing would be at this point, though. I'd have to take some time to reflect on that, so unfortunately, I can't give you much more of an answer at this point.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Okay. No, that's fine. And then a question I know you love to answer, Chip. Just in terms of longer-term profitability outlook, I know that you've said a well-run golf company could operate in kind of the 6%, 7% range. You're now guiding somewhere between 9% and 10%, and I know there's variability and limited visibility and things like FX, but I mean, have you changed the way you think about the industry – or your business longer-term, given how the industry's improved over the past 3, 5, 10 years?
Oliver G. Brewer III - Callaway Golf Co.: Michael, I have, to be direct, and it's as much a reflection of – one thing that I've been very pleased with and is probably more than I expected is the benefits of scale associated with this business. And we continue to grow the business and have success. Our ability to deliver profits that were at levels above where I had initially expected continue to show themselves, and so we're very positive on those trends, and hopeful and optimistic we'll be able to continue on that.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Okay. That's it for me. Thank you.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: Your next question comes from the line of Randy Konik with Jefferies.
Randal J. Konik - Jefferies LLC: Yes, thanks a lot. Chip, first one just give an update on OGIO and TravisMathew. Where are we in the distribution story there? I'm just trying to figure out how you're thinking about those businesses ramping up over the next few years. That's my first question.
Oliver G. Brewer III - Callaway Golf Co.: Sure. Randy, we're very pleased with both of those businesses and acquisitions at this point. They're meeting or exceeding expectations. The TravisMathew one team there needs to be especially congratulated; a lot of momentum in that brand. And we are seeing further distribution growth there. We're seeing strength in the brand across the line in golf, outside of golf, et cetera. It's still only a domestic business, so there's some opportunity on an international basis that we will be exploring and hope to benefit from over the years ahead. And as mentioned, without getting into a lot of specifics, very pleased with that, and there is further distribution opportunity really on both of those businesses. But both are meeting or exceeding what our initial expectations were and contributing nicely to shareholder value.
Randal J. Konik - Jefferies LLC: And just back on the question you had earlier on the ball side, with the investments and ramping up production, the new technology impacting costs somewhat, what would you think in terms of timing to get normalization back of margin in that business, given these are just near-term events? What would be an adequate level of duration for us to think about of starting to get economies and ramping that stuff back up so the margins kind of get recaptured in the business?
Oliver G. Brewer III - Callaway Golf Co.: Yes. First of all, I would like to say I think the margins will get recaptured; I'm positive on that. But we're going to be continuing to invest in that facility over a multiyear time period. This is not something that is going to be this quarter or next quarter and over. So you're going to need to look at it over a long period of time. I would anticipate that you'll see some progress along that path over – by this time next year. But we are on a long-range plan here of really improving our golf ball product, which we think is in great position now, but we've got further plans and position in the marketplace.
Randal J. Konik - Jefferies LLC: Great. And my last question is when you think about, you know, you had such a great year, a great start to the next year here, what are the three areas of focus you're kind of telling your team that we have to accomplish, or priorities for 2018? And then in the last quarter or the last 12 months, what would you have liked to have done better, since you had a great year? What would you have liked changed or done better, and what are the focal items that you're telling the team to execute upon this year?
Oliver G. Brewer III - Callaway Golf Co.: You know, it's a lot of the same things, Randy. We're really focused on improving this business for the long run and sustainable positions in the marketplace. So if you look at the strength across the product line, I'm very pleased with that. You look at our strength internationally and our ability to assimilate the acquisitions, quite pleased with all of that. There's always room for improvement, and we're very cognizant of that. Last year, we didn't have as strong a year in the putter category as we would have liked. You see us starting to restrengthen there. So I'm really pleased with the team's efforts on that and the strength on that line. And believe me, we find plenty to be self-critical about, but we're also pleased with the current trend and trying to further that.
Randal J. Konik - Jefferies LLC: Great. Thanks, guys.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: Your next question is from the line of John Kernan with Cowen.
John Kernan - Cowen & Co. LLC: Good afternoon, everybody. Thanks for taking my question. Congrats on yet another very strong quarter.
Oliver G. Brewer III - Callaway Golf Co.: Thanks, John.
Brian P. Lynch - Callaway Golf Co.: Thanks, John.
John Kernan - Cowen & Co. LLC: I guess I wanted to just, within the revenue guidance, delve into woods and irons and what's embedded in your expectations there. Obviously really strong sell-in with the Rogue irons. The reviews have been really strong. Same with the Rogue woods. I'm just wondering when you look at the revenue declines that are embedded in your guidance for the back half of the year, how does that break out between woods and irons?
Oliver G. Brewer III - Callaway Golf Co.: John, it's Chip. We're unfortunately not going to be able to give you a breakdown by product category by quarter. As you stated, we're very pleased with the position that we have right now. We are aware of what would be – we have expectations for what competitors are going to launch in different periods of time, and we'll embed that into our forecast. But the Rogue irons are the number-one selling model in irons by a wide margin, and the Rogue driver is the number-one selling model driver, so I think it's very fair to say that both of those products have gotten off to a good start. And those are also brand positions now, which as we've sustained some of these positions over a long period of time, I think it's very healthy for the company. Now, we're going to let it evolve. From a quarter-to-quarter basis, I'm not going to micromanage any of this share stuff. It may go down in a quarter and that will be in the best interest of the business for the long-term. You'll see in some quarters, you get into Q3, late in the quarter in Q4, they're very small months. You don't have to sell a lot of product to have a high share, and it can look more alarming than it is when you go over the big picture. And in order to keep the channel clean, in order to keep your brand strength and be ready for the next plan, you have to show some discipline. Some of this is what we're talking about relative to the second half of the year, and that's why we keep telling you, and we understand the challenges with this as well, but we keep telling you to focus on the full year. Any short period, it just, it's so variable to launch timing. But hopefully I answered some parts of your question there.
John Kernan - Cowen & Co. LLC: No, that's helpful for us to think about it that way. And certainly, regardless of what happens in the back half of the year, you're off to an impressive start here.
Oliver G. Brewer III - Callaway Golf Co.: Yes. And if you look at the full year, I think by most measures, we're expecting some pretty good things.
John Kernan - Cowen & Co. LLC: Absolutely. And then just maybe you can help us think about gross margin; looks like just based on where the Q2 guide is and where you're guiding expenses for the year, it looks like there would have to be a little bit of gross margin pressure maybe in the back half of the year. Are there planned like markdowns on some of the older launches like Epic, or is there some type of mix shift? How do we think about gross margin in the back half as revenue moderates a bit?
Brian P. Lynch - Callaway Golf Co.: Some of it will be affected by less FX in the back half of the year, so you should factor that in as well.
Oliver G. Brewer III - Callaway Golf Co.: John, and our margins naturally in absence of any significant launches which would change this, they're highest in the first quarter and usually get lower through the year. So that's a natural evolution and you see that, and the only thing that would change that is significant product launches. We're not anticipating on our current guidance any unusual amount of promotional activity out in the marketplace or other activity. We think the market's in good shape and our positions are in good shape.
John Kernan - Cowen & Co. LLC: And then just one quick follow-up question, the share count I think the embedded guidance is for $97 million, which wouldn't assume any share buyback. Do you feel like that's conservative given some of the cash you're spinning off at this point?
Oliver G. Brewer III - Callaway Golf Co.: We don't comment on any plans relative to share buyback going forward. Obviously, we evaluate it relative to other uses of capital and have shown from time to time that we will be active in that market. But as it relates to balance of the year, we don't comment on plans or lack thereof relative to share buyback.
John Kernan - Cowen & Co. LLC: All right. Thanks and best of luck.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: Your next question comes from the line of Susan Anderson with B. Riley FBR. Susan, your line is open.
Susan Anderson - B. Riley FBR, Inc.: Sorry, had it on mute. Thanks for taking my question. Nice job on the quarter.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Susan Anderson - B. Riley FBR, Inc.: I guess I wanted to, I'm not sure if I missed this, I want to dig in on the sales growth mainly within your new irons and balls. Was this driven, did you guys kind of break out at all how much of that growth was driven by pricing versus units?
Brian P. Lynch - Callaway Golf Co.: No, Susan, we did not break that out.
Susan Anderson - B. Riley FBR, Inc.: Okay. Any color on it that you could provide just in terms of, was it significantly driven by pricing versus units, or vice versa?
Brian P. Lynch - Callaway Golf Co.: For the ball, there was definitely a price impact from the price increase we had in the Chrome Soft. So that was definitely a factor.
Oliver G. Brewer III - Callaway Golf Co.: Irons, it had to be both, Susan. We had a very strong iron. So last year during Q1, we didn't have a significant iron launch. And this year, the Rogue launch was very significant. So our volumes were up dramatically both in unit and we also took a little bit of price. I don't have the breakdown between the two, but it was a combination of the two, probably a majority of volume in irons. And woods, it was probably a majority price, but it would have been 50/50 maybe as well, because we had a very good quarter hybrid and fairway wood, with a good quarter in driver, but year-over-year growth as you would hope in the hybrid and the fairway.
Susan Anderson - B. Riley FBR, Inc.: Great, okay. And then maybe if you could talk a little bit, now that we're going to start to cycle TravisMathew too, I guess how are the integrations going so far? And then how should we think about just the core growth of those two brands going forward?
Oliver G. Brewer III - Callaway Golf Co.: TravisMathew, the integration going exceedingly well, very pleased with it on both of the businesses, and they were very different case studies, quite candidly. The TravisMathew business is growing faster than our business overall or will on a full year basis. The OGIO business is growing at or approximate to our core right now, but we see further potential in that to grow faster than our core over the long term.
Susan Anderson - B. Riley FBR, Inc.: Got it. And then maybe just any color you could give on thoughts around potential acquisitions down the road? Are you still thinking about tangible products, or how should we think about that, if there's any opportunity?
Oliver G. Brewer III - Callaway Golf Co.: Susan, we're definitely considering that as an option. We're going to be thoughtful and strategic in that, as I hope we have been thus far. But we see ourselves in a position with an opportunity to invest in growth where we believe it can create shareholder value. And so, we'll evaluate those as well as other uses of capital as it comes forward. We're not in a position to elaborate on that at this point or provide you any specifics, other than what we have shown with the acquisitions that we have done.
Susan Anderson - B. Riley FBR, Inc.: Great. That's helpful. Thanks so much you guys. Good luck next quarter.
Oliver G. Brewer III - Callaway Golf Co.: Thank you, Susan.
Operator: Your last question comes from the line of George Kelly with Imperial Capital.
George Arthur Kelly - Imperial Capital LLC: Hi, guys. Thanks for taking my questions and congrats on another really strong quarter. So a couple questions first on TravisMathew. Wondering, I may have missed it in your prepared remarks, but did you disclose the revenue contribution from it? And then second question on TravisMathew, how far do you think you are in distribution since you've acquired it? Do you think there's a lot of room left to take it to the channels that your core sort of sales force services?
Oliver G. Brewer III - Callaway Golf Co.: George, we did not break out the TravisMathew revenues. It's embedded in Gear, Accessories and Other and as you can see that category had dramatic growth. But, it would have grown without the TravisMathew, but TravisMathew was a considerable portion of it. The distribution of TravisMathew is continuing to grow and we continue to see runway on that, both domestically and internationally, but we're not able to quantify that any further at this point. But, the business is obviously doing very well and we're quite pleased with it from an addition to the Callaway family.
George Arthur Kelly - Imperial Capital LLC: Okay. Great. And then last question from me just on TaylorMade. Have you seen any kind of more structural changes there or anything, I don't know if it's international or how their ad group, anything -- if there's – if you wouldn't mind mentioning that would be helpful. Thanks.
Oliver G. Brewer III - Callaway Golf Co.: Yes. General rule, George, we don't comment on competitors. Have a lot of respect for TaylorMade. I think they're doing well -- as well in the marketplace and I'm not in a position to comment on anything structural over there that -- there's nothing material for me to pass on to investors on that basis.
George Arthur Kelly - Imperial Capital LLC: Fair enough. Thank you.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: And you do have one last question from Casey Alexander with Compass Point.
Casey Alexander - Compass Point Research & Trading LLC: Hi. Good afternoon. First of all, nice to hear a year that's front loaded. I think all of us analysts have heard enough guys who said we'll make it up in the back half of the year. That's certainly comforting. Chip, let me ask you a question. I mean, obviously Western Europe has had terrible weather in the first quarter. And the Northeast, East Coast, North Central again, another one of these very late springs, and rounds played thus far this year are down. Do you think that had we had a little bit better weather that your guidance would be even better than it is right now?
Oliver G. Brewer III - Callaway Golf Co.: Casey, I would have to believe so. You know I can't tell. It's one of those things – by the way, I'm glad you jumped in. I almost missed you. But the – you can't tell how much on the club side is pull forward, but it did surprise us, the amount of strength in the marketplace given the weather conditions. I mean March being up 21% is exceptional and some portion of that pull forward, et cetera, but clearly the consumable portion would have been better if there were more rounds played and I think that's inarguable.
Casey Alexander - Compass Point Research & Trading LLC: My other question is, and I think you answered this, but it's a little nuance. You have a $6.7 million increase in golf ball sales in the quarter but only $1 million increase in profitability, which suggests that there is a real margin shift there. Does that mean that you really need to push through more of the new ball in order to make the strategy pay?
Oliver G. Brewer III - Callaway Golf Co.: No. I don't think so. It's just a – when you put this much – the cost of the new ball is higher. So – but we've also raised our pricing. So we don't have any issue with that. The efficiencies of the plant, Casey, when you do all this dramatic changes in a plant, it's like making a swing change, right? You get better with time.
Casey Alexander - Compass Point Research & Trading LLC: Don't start. Don't start with me.
Oliver G. Brewer III - Callaway Golf Co.: I was trying to put it in a way you get it. But, the – and I know you don't have to make too many swing changes, but the – that's what we're going through here on the plant. It's really performing quite well. You're just seeing a natural progression as they learn to go through with the new equipment and the new process.
Casey Alexander - Compass Point Research & Trading LLC: Is that to say then that like, if we looked out a year from now on a similar level of sales, you think the margin would actually be better?
Oliver G. Brewer III - Callaway Golf Co.: I do. And the only reason I hedge that a little bit is because we're making further changes in the plant later this year in other areas. So, we're going to digest these changes and we'll be improved in that area, and then we're putting in more, and obviously we believe these are good investments that are going to pay off for us in the long run, but there's a step two coming that we'll also be digesting at that point.
Casey Alexander - Compass Point Research & Trading LLC: Okay. Great. Thanks for taking my questions.
Oliver G. Brewer III - Callaway Golf Co.: Thank you.
Operator: I would now like to turn the call back to Chip Brewer for closing remarks.
Oliver G. Brewer III - Callaway Golf Co.: Thank you, everybody, for calling in. Appreciate your support, and I look forward to talking to you at the end of Q2.